Executives: Renee Bouche Walter S. Woltosz - Co-Founder, Chairman, Chief Executive Officer, President and Chairman of Words+ Inc Momoko A. Beran - Chief Financial Officer and Principal Accounting Officer John Anthony DiBella - Vice President of Marketing and Sales
Renee Bouche: Good afternoon. It is Wednesday, April 10, 2013. And on behalf of Simulations Plus, I welcome you to our Second Quarter Fiscal Year 2013 Financial Results Conference Call and Webinar. Chairman and Chief Executive Officer, Walt Woltosz, will be presenting this afternoon. Joining Walt as panelists are Chief Financial Officer, Momoko Beran; and Vice President of Marketing and Sales, John DiBella. [Operator Instructions] This call is being recorded for playback at our website, www.simulations-plus.com. It's now my pleasure to turn the presentation over to Walt Woltosz, Chairman and CEO of Simulations Plus.
Walter S. Woltosz: Thank you, Renee, and welcome, everyone, to our Second Quarter of Fiscal Year 2013 Conference Call and Webinar. Our Safe Harbor statement makes our attorneys happy, and that's also a good thing to do, so I'm going to read that. With the exception of historical information, the matters discussed in this presentation are forward-looking statements that involve a number of risks and uncertainties. The actual results of the company could differ significantly from those statements. Factors that could cause or contribute to such differences include, but are not limited to, continuing demand for the company's products, competitive factors, the company's ability to finance future growth, the company's ability to produce and market new products in a timely fashion, the company's ability to continue to attract and maintain skilled personnel and the company's ability to sustain or improve current levels of productivity. Further information on the company's risk factors is contained in the company's quarterly and annual reports being filed with the Securities and Exchange Commission. So highlights of second quarter. It was a very satisfying second quarter. We had our 22nd consecutive profitable quarter and 44th of the last 46 quarters. Sales were up 11.8%, as we had announced in our preliminary revenues announcement about 5 or 6 weeks ago. That was a record for any quarter of $3.118 million, up from $2.789 million in the same quarter last year. Our gross profit was up 9.5% to $2.619 million from $2.393 million compared to last year. SG&A decreased by almost 11% to $0.855 million from just about $1 million last year. As a percent of revenues, SG&A decreased 27.4% from 34.3% last year. R&D expense decreased 6.4% to about $0.25 million from a little over $0.25 million last year. Last year included R&D expenditures for our Malaria NCE project. That project was completed, and so there were no expenditures for that project during the second quarter of this year. Our net income increased 26.5% to a little over $1 million from about a little over $800,000 last year. Diluted earnings per share increased 20% to $0.06 a share from $0.05 a share last year. We distributed an advanced cash dividend of $0.14 a share during December, which was during the second quarter. So that was a distribution of about $2.24 million. Our balance sheet remains strong. The cash at the end of the quarter was $9.75 million on February 28, after paying out about $5.4 million in dividends during the previous 12 months. Cash as of April 5 was $10.4 million. As of today, it is $10.6 million. Our shareholders' equity on February 28 was $13.9 million, a little more, and we continue to have no debt. This table summarizes some of the same numbers, but you can see the quarters, side-by-side for fiscal '13 on the left and last year, fiscal '12, on the right. Again, gross profit margin nicely in the mid-80% range. Total operating expenses a little over $1.1 million compared to $1.2 million last year. And income from continuing operations up almost $0.5 million from last year. And the earnings per share, you can see the extra decimal place there, about $0.065 this year compared to $0.052 last year. Now this shows the revenues by quarter. I like to show this side because -- slide because it shows the seasonality that we usually experience, second and third quarters being our strongest quarter, traditionally the third quarter being slightly stronger or more or less equal to the second quarter. So this year, we're hoping the third quarter continues to do that. We have -- as you can see, the fourth quarter is usually our lowest quarter. And that is the summertime, and that's June, July and August. Our fiscal year, as most of you know, begins on September 1. And so our fourth quarter is the last 3 months, June, July and August, of the fiscal year. Everybody goes on vacation in Europe and Japan, and so it's a self-perpetuating cycle because people who license in a particular quarter in one year tend to renew their license in the same quarter the following year. So once you build up a momentum, as we have, you can see in Q2 and Q3, for example, also Q1, it's become quite strong. And that tends to perpetuate because of the annual license model for our software. Gross profit by fiscal quarter, again you can see Q2 for this year doing very well. EBITDA by fiscal quarter, again the highest that we've achieved. And net income by quarter here, again the highest in our history. New customers by quarter. Only 18 new customers. It's not so much the number of customers but who they are. Sometimes new customers are academic or government organizations. They get a very deep discount. Clearly, the 18 that we got this quarter were very -- contributed very well to both top and bottom line, I guess, is the way I want to say it. These were not the low price customers. These were the ones -- substantially, those were ones who dealt with our larger orders. The balance sheet, you can see the cash and equivalents this year compared to last year. Keep in mind that we paid out -- since August 31, we distributed dividends totaling about $3 million. We also paid income taxes of about $1 million. And again, cash today is about $10.6 million. So after swinging out somewhere around $4 million in cash for taxes and dividends, we're only down about $2 million from where we were in August and continuing to generate cash. Cash per share, you can see in our current assets the current ratio are significantly higher as of February 28, 15.1. That's total current assets divided by total current liabilities. And last August, you can see at the end of the fiscal year, or you can say the beginning of this fiscal year it was only about 10. Shareholders' equity, you can see just under $14 million. And equity per diluted share, you can see about $0.85 after the distribution of the dividends. We have been distributing dividends. As I mentioned, over $5 million in about the last 14 months. And nonetheless, even after the large, accelerated dividend that we paid in December to allow our shareholders to benefit from 2012 tax rates before the capital gains tax would go up in 2013. Even after that, now we're recovering cash again and -- [indiscernible] . We will be voting as a board on the next dividend distribution, which would be normally scheduled for early May. We'll be voting on that in late April. We have a board meeting scheduled for April 25, and the expectation, at least at this time, is that we're -- that vote would be positive, but I can't guarantee that until the board votes. To review our products and services, we are primarily a software company, but we also do consulting. And we also have collaborations that are funded either by government agencies or by customers. Our products range from early discovery, where chemists are first dreaming up new molecular structures and getting them into the pipeline to be tested. Most of them, the vast, vast majority, will fail to achieve drug status. Only the rarest will make it all the way through. From discovery into preclinical areas, where we have in vitro experiments and animal experiments that allow us to get data to begin to predict what is going to happen in human, and then into the clinical trial area. And even on, long after approval when a drug goes off patent and generic companies are developing generic formulations, we're involved in that part of it. So we pretty well cover the entire span of pharmaceutical R&D in a variety of ways. Our ADMET Predictor software is a program that takes those molecule drawings, like you see on the left there. And so our chemists can draw one of those perhaps in our MedChem Designer software that you see on the left and click on a button, and ADMET Predictor will be invoked to predict about 140 different properties of that molecule, even though that molecule has never existed in the universe, at least as far as we know. It's a very valuable tool. Their predictions are extremely competitive. We consistently rank #1 in predictive accuracy in peer-reviewed scientific journal articles where comparison studies are done among programs like ADMET Predictor. We perform very, very, very well, and we're quite proud of the accomplishments of the team there developing that product. MedChem Studio and MedChem Designer are products that evolved out of acquisitions that we made in 2005. One acquisition was a company called Bioreason, who had a product called ClassPharmer, P-H-A-R-M-E-R, and we acquired that product along with another product called ChemTK, or chemist's toolkit. We hired David Miller, who was the architect of ChemTK and has been with us since then, and he's the team leader for these 2 products. He merged the 2 products and turned them into MedChem Studio. And then about a year ago, it was a little over a year ago, he developed the MedChem Designer software, which is the molecule sketcher that is linked now to ADMET Predictor. And it's also embedded within ADMET Predictor and within MedChem Studio. So it can be run either as its own stand-alone program, and in that format, we give it away free, as most companies who make sketchers do. But in that format, we also have a link to a smaller number of ADMET Predictor property predictions so that a chemist can draw a molecule, perhaps copy and paste it several times and then make small changes to it, click on a button for ADMET Predictor and then see how those small changes affected those few properties that are provided free with MedChem Designer. Of course, they'll -- they also see that there are about 135 other properties that they could get if they had an ADMET Predictor device. So it's a nice tease. GastroPlus is the flagship product. It was our first product brought on the market in 1998. It generates about 60% of the revenues. And this is a product that has evolved now into -- version 8 is on the market, and version 8.5 is imminent for released hopefully within the next few weeks. And I'll tell you a little bit more about that when we get to the product slide. Our DDDPlus is a simulation of laboratory experiments that measure how fast formulations dissolve. And so this is typically an experiment that would involve a glass container with some sort of a buffer solution in it. A product, which could be a tablet or a capsule or even more than one, are dropped into the container. There's a paddle that stirs it or the product can be in a basket that oscillates in a fluid or other methods, and we simulate all of those. And the value of having a simulation of a laboratory experiment is that it can allow you to understand what exactly happened in that lab experiment. It's not unusual at all for lab experiments to be run in different labs that supposedly measure the same thing, but the results come out differently. And it could be something, an experimental setup. It could be something, in this case, in the actual formulation. A generic company, for example, wants to develop a new tablet and operate as a generic product for something that's on the market and is not off-patent, and they're not able always to use exactly the same formulation that the innovator company had used, so they have to come up with their own. And so one of the things they will do is measure how fast the product dissolves in these experiments and compare that to how fast the innovator product dissolves. And they're trying to, of course, duplicate that under different conditions that represent both fasted state when you take a pill after you have not eaten it for perhaps overnight, and as well as fed state. So maybe you've just eaten a meal and now you take the tablet right after the meal. And so DDDPlus does that. MembranePlus, which is not released yet but is in testing now, is a similar concept. It also simulates in vitro or laboratory experiments, but these are permeability experiments. And the name, Membrane, comes from the fact that most of these experiments involve a layer of cells that is grown on a filter and it forms a membrane, and you put drug in one side -- on one side of the layer of cells, and you measure how fast it appears on the other side of the layer of cells. These subject -- these experiments are subject to even greater variation than those for dissolution from lab to lab, and it is because often, that the cells are different. They have the same generation of -- or this -- same type of cells and maybe grown for different numbers of generations. They may be treated differently in terms of the fluids that sustain the cells and prevent bacteria from growing and so on. And then the experiment itself can be different in terms of the type of plasticware that used in each of the small wells that represents one of these experiments on a plate. And so the need for interpreting the data from those types of experiments is probably even greater than what we had for the dissolution experiments with DDDPlus. This is a brand-new product. There's nothing else like it. So we're very excited that, that's going to be a new product in our stable of products that we'll be able to offer in the coming months. And then again, at the bottom, consulting services and collaborations. We do quite a bit of consulting. Consulting demand seems to be picking up. It's always a sawtooth to getting a very busy quarter, one, it's not so busy, and then the next quarter is even busier. And right now, we're pretty busy. So again, just to summarize the products, GastroPlus version 8.5 is in final testing. We've added a unique precipitation model. One of the issues that we deal with, with orally dosed drugs is you swallow the drug, that goes into your stomach. Many of these drug molecules are very soluble in the stomach fluid but not so soluble when the stomach empties into the intestine where absorption takes place because the pH goes from an acid pH to a neutral or even a basic pH if you go far enough down the GI tract. And so the solubility can decrease, and that means the drug, instead of remaining in solution, meaning dissolved, can precipitate. It's a very important phenomena for some dosage forms in some drugs that we've now added a very unique and new precipitation model to deal with that. Infant technologies -- or infant physiologies, I'm sorry, for physiologically-based pharmacokinetics, PBPK. That just means that we have a model that simulates a large number of different tissues in the body. So we're simulating, for example, the brain, heart, muscle tissue, fat tissue, spleen, liver, kidney, bone and so on. And so pediatrics has become a very high interest area in the FDA and in industry. And infant pediatrics can be quite challenging. Babies who are only a few weeks old are changing rapidly as they grow, especially for a number of months. The expression levels of different enzymes and transporters, the function of different organs can change significantly during those early months. And so in a single simulation, you might need to change the physiology of the baby as you to proceed from week 1 to week 2 to week 3 and so on. We've also added a built-in method for dealing with in vitro data for transporters and how to extrapolate that to in vivo or in actual animal or human simulations. We've added a number of additional built-in enzyme expression levels as well so that our users don't have to go look up that information. The information is built into the program for them. ADMET Predictor, new version for that one also in final testing, release expected this month. We have extended the metabolism predictions, added a skin permeability model and a model for air-water partition coefficient. We have a much improved mutagenicity model in our toxicity module. And we're using a new licensing software, both in this product and in the MedChem Studio product. The licensing software that we've used for many years is a bit cumbersome. Customers are not really fond of it. We're not either. So this will be a way to use a more modern type of licensing system where the customer can actually go into a website and unlock the program themselves with a code that we have sent to them by email after they've placed their order. MedChem Designer and MedChem Studio, both new versions coming out. The way we draw molecules, the molecule depictions, has been improved so that the lines are smoother and cleaner. Again, a new licensing software has been incorporated. We have added some very fast, ultrafast screening methods for large molecular libraries. So a company now, many companies, large companies, have libraries of molecules that they have synthesized and have in their labs over the years. And this could be millions of molecules. And so these fast-screening methods in 64-bit versions of the software allow them to deal with these very large libraries more efficiently. DDDPlus, we added some capabilities to that one recently. Not as much work done on that one because of all the work going on in the other product areas. And MembranePlus, again coming soon. I just explained how that program works. But basically, the idea is to get more value from your in vitro assays of permeability. With respect to marketing and sales, during the second quarter, which, of course, includes December, January and February, so we have the holidays, which always has an impact, we did 5 conferences. It's not the busiest conference season. The first and third quarters tend to be our busiest conference season. We had one scientific poster at one of those meetings. We did host a 3-day GastroPlus workshop at the FDA for over 30 scientists. We conducted 10 on-site training courses at various client sites. We held our first cheminformatics training workshop last month in Cambridge, Boston area. And we also held a GastroPlus introductory workshop during that same week. We had an overflow crowd for that one. Our strategic digital marketing initiatives continue. We are holding webinars on our cheminformatics software. These are fairly technical. I did notice on the Yahoo! message board someone said, "Gee, how do you find out about these?" Well, we do mass mailings to folks who are in the industry. If folks who are more on the investor side who are interested in that, they're always posted on our website. But if you would like to receive information about those, again they're quite technical, but we'd be happy to include you on those. Over 300 registrations for those 2 webinars. And we continue with LinkedIn, Facebook and Twitter accounts. And we are also doing a redesign of our website. It seems like there's always a better way to present the information that we have to offer. Our collaborations and consulting and grants are multifaceted. Our ongoing 5-year collaboration with the FDA, Center for Food, Safety and Applied Nutrition is continuing. We're building toxicity models with them for food additives and contaminants. We've got consulting studies ongoing. These also provide exposure of our software to new groups. So there are times when a company is really too small to take on the software themselves and just needs to contract with us for the service. And then there are times when they see what we do and they say, "You know, we really ought to have that capability in-house" , and maybe consult with customers. We have an ongoing funded collaboration from one of the major pharma for enhancement of the oral cavity dosing module or model. And we have another with a different top 5 pharma company. We have a funded collaboration to incorporate transdermal dosing. So skin patches and creams will be added in that. We're in testing of that module now. We continue to believe that there is a fundamental industry shift towards modeling and simulation. For example, we received feedback from 2 customers just in the last few weeks, that 2 more regulatory submissions with GastroPlus modeling results were accepted by the regulatory agency as part of the submission from a customer. The 18 new customers during the second quarter includes both new companies as well as new departments within existing large customers. We can have a huge pharmaceutical company that has locations in various places in the world, and at each location, they may have 10,000 or 20,000 employees, and we're in a few departments but not in all departments we could be in. So we consider when we get into a new department as just as tough a sale and sometimes a small company that's out there in a small town in New Jersey perhaps with just as many people as that department in a large pharma company. The food safety collaboration has worked out quite well. They have been using ADMET Predictor and its built-in modeling capability called ADMET Modeler now for over 1.5 years. They asked us for certain types of code modifications, and we did make those part of the ADMET Predictor that was released last May. And we also released some of the first toxicity models. And these are models for predicting cancer in rodents, in mice and rats. So tumor formation in rice and -- mice and rats. Our NCE project was a flagship product last -- project last year, where -- it's where we said, "We know that ADMET Predictor and MedChem Studio and MedChem Designer are fantastic products for designing new molecules. And the GastroPlus can contribute to evaluating how well those molecules can function in vivo in animals or in human. But telling people that we know that and demonstrating it are 2 different things. So we set out last year to put our money where our mouth is, and we said "We're going to design some new molecules and we're going to have them tested and we're going to announce that we're doing it even before the molecules are made." So we stuck our neck out, and we said "We're making these molecules." And we had hoped that we would get at least one molecule to get the malaria parasite to inhibit its growth. A total of 7 molecules were synthesized and tested and all 7, all 7, inhibited the growth of the parasite. Two were active at what we call a nanomolar level, which means it didn't take very much of that molecule to inhibit the growth of the parasite. And we not only inhibited the standard or well-type form of the parasite but also the more recent mutation that has become drug resistant to the typical chloroquine types of drugs. We also were able to inhibit the growth of the drug-resistant strain. But we did apply for a Gates Foundation challenge grant in December, knowing that we're a bit of an outsider. We were not successful in that application, but we do continue communicating with other outside organizations that are known to fund developments for malaria and other diseases. So we are not giving up at all on that. We believe that there is interest, particularly in one of the major pharmas, to work with them in developing either malaria or molecules to address a different disease besides malaria. We decided we're going to do a second one of these projects. We've evaluated a couple of different potential targets. The one requirement that we have is we must have some existing experimental data that allows us to build a predictive model for the activity of the new molecules that we design. So in the case of malaria, there was a significant database available in the public domain that allowed us to build predictive models to say, if I make this molecule, will it inhibit the growth of malaria? And clearly, our predictions were on the money because all 7 of our molecules did hit the target. We've looked at a couple of targets, did not find suitable data. And one that's currently under examination is looking promising, and if that works out, we do expect to design new molecules and issue a request for quotation for synthesis and testing in the near future. So to summarize, we had record financial performance, continuing our 5-year-plus profitable trend really almost 10 years other than 1 or 2 quarters, and I think most -- both of those were a result of our former Words+ subsidiary. Our earnings growth, very nice, 26.5% after-tax earnings on a revenue growth of 11.8%. It just continues to demonstrate the high margins of the business that we're in. We are continuing to expand our Life Sciences team. We hired another, -- a new IT engineer, and we've got another Ph.D. starting in a few weeks and another one scheduled to start in October. We continue to interview. We've interviewed several scientists. We expect further staff expansions in the coming months. We continue to look for acquisitions, which are very few and very far between in any quality and technology that would marry well with what we do. And so we're going to just grow our staff in the meantime and continue to expand products and services organically. The Life Sciences team also strengthens and supports our marketing and sales. Our Life Sciences team doesn't just sit in their offices and develop software or do studies. We get them out so that they go to customer sites, they go to scientific meetings. They get face-to-face with customers or potential customers. And that is a great support for our marketing and sales staff. We continue the marketing and sales activities that we've found to be productive. We have spent more of our staff times supporting marketing and sales, meeting the Life Sciences staff. We did -- we initiate the training workshops for our chemistry tools with our first one in March. And we also had the GastroPlus training in Boston and other one in San Diego just this month. And we have one that is in planning now for Japan. That will be our first one in Japan for the fall. Now we're clearly recognized as a leader in our areas. We are known for our scientific expertise and innovation. And also, I get continuous feedback on how strong our customer support is. We have direct scientist-to-scientist support. When someone calls or emails and has an issue, they get a response quickly and comprehensibly. And we get a lot of feedback thanking us for that strong support. Our cash position remained strong after we distributed last year during calendar 2012, forecast dividends of $0.05 per share per quarter plus the 1 accelerated dividend of $0.14 cents per share, all during the 12 months of calendar '12, 2012. Over $5.4 million net cash remains and about $10.6 million net of -- as of today. And as I mentioned, the Board of Directors is scheduled to vote on the potential May distribution at our next meeting on April 25. So that's the summary, and I'll be happy now to try to answer any questions that you have.And I see the first question here, Howard Halpern: "What factors reduce aggregate SG&A expense?" Momo, can I ask you to answer that one?
Momoko A. Beran: Yes. Last year, we had some unique expense, which we don't see this fiscal year. One of them is a legal fee. We pay -- we have to pay the legal fee while we are trying to acquire certain assets of -- and tariffs in bankruptcy code. And that was about $54,000, and that was last year. And also, last year, we spent a little bit of effort for expanding our market share in China. So we send some Life Science personnel in China and demonstrate our products and workshops, et cetera. So there was last year's expense which we don't see in this year. And another one is the SG&A salary decrease because Life Sciences staff spend more time in R&D rather than SG&A. So that result in some deduction in overall SG&A expenses.
Walter S. Woltosz: Okay. Next question, "Of the 18 new customers, how many additional departments/site licenses have the potential to the penetrated?" Boy, that's the $64,000 question, and I'm going to pass off to John.
John Anthony DiBella: I would say that of the 18 new customers, 9 of them would have the potential to be penetrated into different departments and/or new sites. I think it was mentioned earlier that this particular quarter, the new customers, the theme would be more quality than quantity because we did have 7 complete new industrial or industry customers signed up, and I think those would be the ones that we would part typically for extension of licenses going forward. So we'll be doing some trainings very shortly at these customer sites in order to hopefully expose more people to the software.
Walter S. Woltosz: Thank you, John. Our next question, also from Howard, "How close are you to getting consumer products companies to license your work in toxicity?" So I assume that would mean probably food and cosmetics companies. John, can you comment on that?
John Anthony DiBella: Well, we do have several large consumer product companies that are licensing the software and specifically the toxicity features as it would relate to ADMET Predictor and GastroPlus. And we had a very good response at the most recent Society of Toxicology Annual Meeting, quite a few consumer product companies coming up and asking for more information. And hopefully, we'll have also some collaboration going forward with a couple of regulatory groups in the area of toxicity and PBPK modeling, which will also help with the exposure to these alternative markets.
Walter S. Woltosz: Thank you, John. Again, from Howard. "What do you view as the long-term benefit to having GastroPlus simulation contract study submissions becoming more routine as part of the regulatory review process? And can you leverage it to enhance revenue?" Well, absolutely. I mean, this is the proof of the pudding. When we get right down to it, all of these software programs have 1 or 2 purposes. One is to make good decisions about what you do next, and the other is to get drugs to the market faster and cheaper. If regulatory agencies are willing to accept simulation results in lieu of actual clinical study information, either in part or in full, then the savings are just fantastic. And so as these agencies now have become more and more open minded, this is both European and FDA, as they become more and more open minded to -- and familiar with the process of these simulations, to accepting these in lieu of having to run additional trials, then clearly that's going to be a bellwether development so that companies can see that the price of the software may look expensive, but what it does saves far, far more than its cost. And so the cost-benefit ratio is very, very high. From Howard again, "How much revenue over the next year or so can we anticipate from funded collaborations?" Those are pretty hard to predict. These -- the last 2 came up somewhat quickly. John, do you have any comment on that one?
John Anthony DiBella: I don't have any additional information really to add. I know that the 2 that we're currently in are going to be wrapping up within the next few months. And there are some new features in the software that we hopefully will be working on -- starting to work on over the next couple of months. And I think that there had been some interest from some of our friends in the industry to work together. Now whether it would be through a funded collaboration or not is hard to say, but there potentially could be some coming up.
Walter S. Woltosz: Thank you. I don't see any other questions, are there? Does anybody else see any questions? Renee?
Renee Bouche: No, I don't see any questions, nor are there any hands raised.
Walter S. Woltosz: Well, let's see if any hand is raised. Okay. Well, look, there's...
Renee Bouche: Oh, wait, Donald Berseit [ph] is...
Walter S. Woltosz: Yes, I see it. "Are there any safeguards in place to avert any hostile takeover attempts?" Well, it would be relatively difficult since my wife and I own about 40% of the stock. And that means we only have to get 11% or so from the rest of the universe of shareholders, and a good chunk of that would be covered by other employees. I really doubt that, that could happen. But there is a preferred stock capability that was approved by the board some years ago. It's never been used. So something could be done if needed. Again, I think with the amount of control that we have from insiders, it wouldn't take very much from the remainder of the shareholders to prevent a hostile takeover. I don't see any other questions. All right. Well, I guess we'll call it a day there. Thank you all for attending, and we will see you in about 3 months. Renee, back to you.
Renee Bouche: Okay. Thank you, Walt. That concludes today's conference call and webinar. If you missed any part of today's presentation, the replay will be available at our website, www.simulations-plus.com. Thank you for joining us today, and have a great afternoon.